Operator: Good morning, and welcome to PACCAR's Third Quarter 2022 Earnings Conference Call. All lines will be in a listen-only mode until the question-and-answer session. Today's call is being recorded and if anyone has an objection, they should disconnect at this time. I would now like to introduce Mr. Ken Hastings, PACCAR's Director of Investor Relations. Mr. Hastings, please go ahead.
Ken Hastings: Good morning. We would like to welcome those listening by phone and those on the webcast. My name is Ken Hastings, PACCAR's Director of Investor Relations. And joining me this morning are Preston Feight, Chief Executive Officer; Harrie Schippers, President and Chief Financial Officer; and Michael Barkley, Senior Vice President and Controller. As with prior conference calls, we ask that any members of the media on the line participate in a listen-only mode. Certain information presented today will be forward-looking and involve risks and uncertainties, including general economic and competitive conditions that may affect expected results. For additional information, please see our SEC filings and the Investor Relations page of paccar.com. I would now like to introduce Preston Feight.
Preston Feight: Good morning. Harrie Schippers, Michael Barkley and I will update you on our third quarter financial results and other business highlights. I truly appreciate all of PACCAR's outstanding employees who delivered record third quarter results in the highest quality trucks and transportation solutions to our customers around the world. PACCAR's third quarter net income more than doubled to $769 million and revenues increased 37% to $7.06 billion. PACCAR parts pre-tax profits were a record $374 million, 32% higher than the same period last year. Parts third quarter revenues increased to a record $1.47 billion. Truck parts and other gross margins expanded to 14.9% in the third quarter compared to 14.4% in the second quarter. Strong business operating conditions and PACCAR's increased mix of premium new truck models and excellent aftermarket parts business contributed to the higher gross margins. PACCAR financials had a year-over-year pre-tax income increase of 22% to $146 million reflecting a high quality portfolio and robust used truck results. We estimate this year's U.S. and Canadian Class 8 market to be in a range of 265,000 to 285,000 trucks and next year to be in a range of 260,000 to 300,000. Overall, the strong truck market is expected to continue as a result of the solid freight volumes, high customer truck utilization and the increased fleet age. Customers are replacing their trucks with the new Peterbilt and Kenworth models that enhance their operational efficiencies, achieve industry-leading fuel economy, and attract and retain the best drivers. Kenworth and Peterbilt now have a backlog that extends into the second quarter of 2023. In Europe, this year's truck industry registrations in the above 16-tonne segment are estimated to be in a range of 275,000 to 295,000 vehicles. Like in the U.S. freight demand and customer utilization remains high. The 2023 market is expected to be in the range of 260,000 to 300,000 trucks. DAF's year-to-date market share has increased to 17.4% compared to 15.8% a year ago. This growth reflects the exceptional performance of DAF's industry-leading and award-winning new XF and XG trucks that began production at the end of last year. DAF recently introduced a new XD distribution in vocational truck product line. The new DAF XD models earned the 2023 International Truck of the Year award at this year's Truck Show in Germany. The new XD lineup begins production this quarter. The complete new range of DAF trucks offers customers in Europe, the only trucks that utilize the new masses and dimensions regulations, and are differentiated from the competition due to their more aerodynamic design, superior safety features and spaciousness for the driver. These trucks provide our customers the most fuel efficient, driver-friendly, premium trucks in the European market.  The South American above 16-tonne market is projected to be in a range of 125,000 to 135,000 trucks this year and in a similar range next year. In Brazil, DAF's above 16-tonne market share through September was a record 6.9% compared to 5.6% last year. The outstanding PACCAR team and dealers around the world are performing well and delivering excellence to our customers. Thank you. Harrie Schippers will now provide an update on PACCAR Parts, PACCAR Financial Services, and other business highlights. Harrie?
Harrie Schippers: Thanks, Preston. PACCAR delivered 44,400 trucks during the third quarter. We estimate fourth quarter deliveries to increase to a range of 46,000 to 50,000 trucks. This reflects higher build dates, more production days in the fourth quarter, and a gradually improving supply based performance. Truck parts and other gross margins increased to 14.9% in the third quarter. We anticipate fourth quarter gross margins to be in the 15% to 15.5% range, reflecting higher truck deliveries and continued strong performance of PACCAR Parts. PACCAR Parts had an outstanding third quarter with Parts gross margins of 30.4%. Customers high truck utilization and increased average fleet age contributed to PACCAR Parts record results. PACCAR Parts opens a new 260,000 square foot parts distribution center in Louisville, Kentucky in the third quarter to further enhance parts availability for customers and dealers. PACCAR Parts outstanding performance is driven by its networks of 18 distribution centers, 2,300 dealer locations, 250 independent TRP stores, as well as technologies like managed dealer inventory and innovative e-commerce systems. We currently expect fourth quarter parts sales to be 8% to 10% higher than the same period last year. PACCAR Financial Services benefited in the third quarter from high used truck prices and excellent portfolio quality. Pre-tax income was $146 million, 32% higher than last year. The amount continues to be strong for PACCAR pre-owned vehicles as customers appreciate and pay a premium for their superior reliability and durability. PACCAR Financial has been increasing its network of retail used truck samples and opens a new location in Madrid, Spain in the third quarter. We now have 13 centers to sell used trucks at retail prices which enhances profits. PACCAR has invested $7.3 billion in new and expanded facilities, innovative products and new technologies during the past decade. These investments have created the newest and most impressive lineup of trucks in the industry and will contribute to excellent financial returns for many years. PACCAR's return on invested capital further improved to an industry-leading 23% in the first nine months of this year. Capital expenditures are projected to be $475 million to $500 million in 2022 and $525 million to $575 million next year. Research and development expenses are estimated to be $330 million to $340 million this year, and $350 million to $400 million next year. PACCAR's exciting new line of trucks and transportation solutions, efficient R&D and capital investments, strong after-market parts and financial services business and flexible operating structure position the company for a bright future. Thank you. We will be pleased to answer your questions.
Operator: Thank you. [Operator Instructions]. You first question today comes from the line of Chad Dillard with Bernstein. Your line is now open.
Chad Dillard: So first question is about stick-your-price in the third quarter. Can you just give us a sense for what to look like on the truck side and then think -- how to think about that going into fourth quarter, any thoughts on just pressing into the 2023 and, it seems like the exit rate of margins are pretty strong. I mean, how -- how much more upside do you think you could generate going into 2023?
Preston Feight: Yes, sure. I think that what you saw in the third quarter is really strong performance from all the divisions of PACCAR. There was price realization for us and cost-rep also but we had a net positive in that and we would expect that to continue in the fourth quarter. And as we've shared with you, and we're thinking that truck part and other gross margins will increase to the 15% to 15.50% range and a really high-level of performance. And we look out in 2023 and think well a really good year in 2023.
Chad Dillard: Great. And just one more question for you. I was hoping you'd give a little more color on your Europe guide just, what you're baking in from a macro perspective, from a freight demand perspective. Just like what's being accounted there?
Preston Feight: Yes. Harrie, do you want to go and then I'll follow-up with anything?
Harrie Schippers: Yes. We see demands for trucks and transportation to continue to be strong in Europe. One of the statistics that we like to follow is the amount, the toll paid in Germany which is at similar level that it was last year. So freight and transportation continues at strong levels. We see the customers loved their new trucks, strong order intake and first quarter they're basically full with orders and we're now starting to fill up the second quarter in Europe. So the outlook for Europe is really good.
Operator: Your next question comes from the like of Felix Boeschen with Raymond James. Your line is now open.
Felix Boeschen: Hey, I was hoping we could talk about the parts business. It's obviously been super strong but, I was just curious if you could provide some high-level thoughts on how you think the parts business might hold up if we do see a more pronounced slowing of the freight market or the macro in the U.S. and Europe next year. What I'm really trying to understand is, we can use the industrial recession as a proxy to see how parts kind of did in that scenario, with fleet seem overaged due to more proprietary content on the trucks. So I'm just kind of curious if you could directionally talk about any puts and takes to parts into next year?
Preston Feight: One of the things that's wonderful about the team here is that they've done a great job at developing a very robust part system that serves your customers well. And I think that's one of the key elements describing the performance of the business is having their right systems and capabilities to provide customers' trucks. We've expanded our footprints and distribution centers around the world that enables to be even a better partner with our dealers and our customers so that helps our performance and insulate ourselves a little bit from cyclicality, gives us a strong recurring revenue business. We've seen growth of our engine business around the world over the several past years which also gives us a strong future look into the parts business. And I think that with the elevated fleet age, we're going to continue to see strong truck performance and parts performance for the next while.
Felix Boeschen: Okay. Super helpful. And if I could just have one quick follow-up. You mentioned the new model mix in Europe. Do you have a percentage of what that was out of European builds in the quarter and where you kind of expect it to go into 4Q?
Preston Feight: I think we're getting towards 70% now of the new model mix in Europe, and I expect that in the -- for the fourth quarter -- in the fourth quarter. And then I'll see that increase next year as well. I can just tell you, we're over at that IAA show in September in Hanover in Germany, and the trucks are simply amazing and the customers are really realizing the benefits of their fuel efficiency and driver performance and that's driving a very strong demand for those new products.
Operator: Your next question comes from the line of Tami Zakaria with JPMorgan. Your line is now open.
Tami Zakaria: Hi, good morning. Thank you so much for taking my questions.
Preston Feight: Okay.
Tami Zakaria: So my first question is -- hi, so my first question is, so you're expecting some growth in North America truck sales next year. Could you help us understand what kind of macro growth assumptions or GDP growth assumptions are embedded in that guide for truck sales?
Preston Feight: Yes. We don't think of it that way, Tami. We think about the truck industry and what's going on within the truck industry that's driving the volumes. And as you can -- as you look at it, right, freight demand is at very high levels. Truck utilization is at a high-level. And the age of the trucks out in the park has increased for the past three years and there continues to be supply based constraints that limit build. And when you put all of that together and combine it with the excellent new products that are delivering like 7% to 10% better fuel economy for our customers, which is thousands of dollars per trucks per year in savings, it points to a really good market for PACCAR next year.
Tami Zakaria: Got it. So it seems like you're saying, even if let's say there's a broader macro recession, the factors you mentioned specific to the truck industry makes you comfortable in guiding to a growth number for next year?
Preston Feight: Well, as we said, we think that it'll be a strong truck market next year as we showed with our industry expectations of 260,000 to 300,000 in both Europe and North America. So that's pretty strong markets.
Tami Zakaria: Got it. That's super helpful. Thank you. And then from a gross margin perspective with commodity prices coming down and you have a pretty decent visibility to truck volumes next year, do you expect gross margin rate improvement to continue next year as well?
Preston Feight: Well, we talk about the fourth quarter in this call and we expect the fourth quarter to increase in the 15% to 15.5% range.
Operator: Your next question comes from the line of Steven Fisher with UBS. Your line is now open.
Steven Fisher: Thanks. Good morning. You gave us the growth and deliveries in Q4 and the steady retail for 2023, and you mentioned Peterbilt and Kenworth backlog are extending through the second quarter of next year. I'm just curious how much of a question mark would you say is the second half of 2023 in your mind at this point? Or are you anticipating still a pretty solid trajectory of orders really for the next few months that would still set up your second half for an extended period of steady production?
Preston Feight: Well, thanks for the question. The way we look at it is that the first quarter is substantially full as Harrie shared. We're taking strong order intake into the second quarter and into the second half as well. So we see nothing that's slowing us down in the year. Obviously, the further it gets out the less clarity there is, but there's a great backlog of orders and it's growing.
Harrie Schippers: Yes. But right now I would say that it's basically the supply base and the availability of components to build trucks, that determines the pace of growth in the fourth quarter and that's probably going to continue as we enter into next year as well. And then we'll see how long that, that that takes.
Steven Fisher: Okay. And then maybe if you could just give us some color on maybe the order activity by customer type. How much of the strength in trucks do you think is large fleets that are trying to take their fleet age down versus more broad strength? Are you seeing smaller and mid-size fleets strong in the ordering as well as the large ones? And how do you expect that to evolve in kind of Q4 and in 2023? I'm guessing that the smaller fleets are maybe a bit more sensitive to the freight market conditions, but I'm curious what you're seeing sort of in the underlying buildup of your book.
Preston Feight: Yes. I think that the -- it's pretty well spread that there's a strong demand out there for trucks. I mean the vocational markets remain very good, 30% of the build. The larger companies are also ordering trucks for the year. And I think it comes back to those fundamentals of great trucks and an undersupplied market for the past few years bodes well for a strong future.
Operator: Your next question comes from the line of Tim Thein with Citigroup. Your line is now open.
Tim Thein: Thanks. Good morning. So the first question is just again continuing on what you just mentioned as to the component availability restricting build rates and just overall production. To the extent that and I would presume, and maybe I'm wrong in this, but I would presume that that's led to some -- potentially some kind of prioritization as to what you want to produce. Does that -- to the extent that eases next year, is there -- has there been a kind of a mix benefit that potentially goes the other way? And again, to the extent, you're producing more vehicles, but presumably some that may or may not carry as attractive economics. So effectively has this year led to again stronger mix benefit that potentially becomes less of a tailwind next year if we do start to see some easing in the supply base.
Preston Feight: Maybe Harrie, you want to swing at that?
Harrie Schippers: Yes. To my -- I don't see that we've prioritized certain customers over others to. I think we want to take care of all our customers and by supplying them the trucks they need like Preston said, we've been capacity constrained for the last three years or so. So most customers that I talked to or hear from, they want to have more trucks and they want to have them quicker. And so we try to satisfy everybody more or less proportionally.
Preston Feight: Yes. I think that would be too detailed. I would agree with Harrie just said, I think it's a little bit too detailed to try to think about it in terms of sectors and tailwinds and headwinds of what we're building. We're building all the trucks we can for our customers and we're going to keep doing that.
Tim Thein: Got it. Okay. And then Harrie, maybe back to your old -- in your old shoes branding DAF curious what you're seeing there from a standpoint of -- one of your peers had noted some fairly sizable increase in the energy-related costs and some relief to suppliers. How big if at all been impact has that been to DAF and its operations in Europe?
Harrie Schippers: Well, we do see a Europe that energy costs have gone up and like I think somebody mentioned on the call before, steel and aluminum prices have come down a little bit. So there's a balance there that with higher energy costs and higher labor costs overall cost levels remain elevated. That's also why truck prices have gone up and continue to go up. But I would say that, that in this environment with the new trucks that we just launched, that customers love gives us a really good starting point to sell more trucks and grow market share as we've done. So as DAF team is doing really well in the market we're currently in and taking full benefit of the new truck models that we launched.
Tim Thein: Okay. Okay. And just I guess we'll see it when the Q comes out, but just on that relationship between price and variable costs, was -- did the benefit increase from where it was in the second quarter overall, not just Europe, but overall for the company?
Harrie Schippers: I would say that prices continued and increased to the third quarter compared to the second quarter. And so did cost the price versus cost differential continue to be favorable for the company. That's why gross margins went up.
Operator: Your next question comes from the line of Jamie Cook with Credit Suisse. Your line is now open.
Jamie Cook: Hi, good morning, good afternoon depending on where you're, nice quarter. I guess two questions. First, the deliveries. The deliveries were on the lower end of what you guys had forecast for the third quarter, and you obviously have that improving in the third -- in the fourth quarter to the 46,000, 50,000 range. So what's giving you confidence to bring up your delivery forecast and why was the third quarter at the low-end? And then where do you see sort of red tags as we exit the year? And then my second question, I guess the one thing that struck me this quarter was the incremental margins were very strong, I think in the low-20s, which is above average. It's a better incremental margin than PACCAR typically puts up. Your view sort of on the sustainability of that just given the strength that you're seeing in parts and then potentially that the help from the new product launches. Thanks.
Preston Feight: Well, we start with the deliveries one as we guided 44 to 48, we have 44,400. We think about the third quarter. If deliveries are obviously there's fewer trucks built in Europe, there's about 4,000 -- 4,500 trucks less built in Europe. And then we continue as we say to have limitations under build based on the supply base constraints that are happening. So we see that gradually improving, hence our guidance to the fourth quarter plus the no summer shutdown, some more build days. And our red tags are kind of a similar level, as you call them, red tags for the second and third quarter. And we kind of expect that'll improve slightly in the fourth quarter. So from a margins standpoint, your second question, you kind of almost answered it right. We have a great parts performing team and we guided in the fourth quarter that gross margins are going to improve to 15% and 15.5% range. We think that that's going to continue to be strong performance based upon the excellent new products as you mentioned. That's what's going to keep the performance at the very high levels that we're seeing.
Jamie Cook: Okay. So low-20s incrementals is in a bad way to think about your business assuming volumes are there.
Preston Feight: I'll let you think about it that way. We think about it in terms of how the business is running and what we're providing.
Jamie Cook: I just want to know if my thinking is right, but I try. Okay. Thank you. I appreciate it.
Preston Feight: All right. Take care.
Operator: Your next question comes from the line of Stephen Volkmann with Jefferies. Your line is now open.
Stephen Volkmann: Great. Thank you, guys. Most of my questions have been answered, but I guess maybe a longer-term bigger picture question. You've done a great job growing the parts business including the gross margins kind of through the issues we've had over the last two years or three years, but your truck gross margins are still circa 300 basis points, I think below pre-COVID levels. And I'm just curious how you're thinking about that going forward. Is there anything that would preclude us from getting back to those kind of 2018, 2019 levels of gross margin? And if not, what would be sort of the key levers that that need to be pulled to get back there?
Preston Feight: Well, Harrie you want to?
Harrie Schippers: No, well, Steve our -- our -- as you know, our margins continue to improve and the new products that we launch in North America and Europe have provided good tailwinds. I would say to margin growth. And as you see it now, our margins are the best in the industry and that's our goal to stay the best in the industry and parts plays a key role there and the new trucks and strong margins on those new trucks would be the key element of that as well.
Preston Feight: And I would add, I agree with everything Harrie said, and I would add to that, that our operations teams have done an incredible job around the world of making sure we get as many trucks out as we can and sometimes that's done less efficiently. So if that smooths out, then that will be an upside as well.
Stephen Volkmann: Okay. Yes, and Harrie, we always want more so that, that was the spirit of the question.
Harrie Schippers: We wish we had [ph].
Stephen Volkmann: And then may be -- maybe I can just attach one more here. I was interested; I mean your financial services results were quite good despite kind of lower revenue there. Was that mostly kind of the goodness of used truck sales. And I'm curious if that you're starting to see those prices kind of normalize again or maybe not yet.
Harrie Schippers: It's nice to see how the finance company continues to perform really, really strong. Run at a $46 million in the third quarter, second best quarter ever. So very proud of the team achieving and delivering those results. Business continues to go well. Portfolio quality is excellent. Past dues are like 0.3% kind of range are really, really low. The revenues reflect the fact that our used truck inventories are at low levels, so there's less flow, less sales of used trucks. But the used trucks that we sell. We'd have now 13 used truck centers, a growing portion of it that provides a nice tailwind for the finance company. And I would expect the finance company to continue to do well as we enter the fourth quarter and going into next year.
Operator: Your next question comes from the line of David Raso with Evercore. Your line is now open.
David Raso: Hi, thank you. For 2023, the order books, can you let us know how far they're open and is that open for national fleets? Is that open for all size customers? Just trying to get a sense of how far out the books are open in North America and in Europe. Thank you.
Preston Feight: Yes. The order books are opens, Dave, it's as we said, substantially full in Q1 filling in well in the second quarter and even through this into the second half as customers look at their full-year delivery plans and allocate their capital for next year. So yes, going well by all segments and really kind of as we would expect it for a strong year.
David Raso: And the pricing that's in the backlog is that notably higher than what was shipping in the third quarter? Just trying to get a sense of sequential pricing from what's already in the book.
Preston Feight: Well, we talked about the margins improvement into the fourth quarter. 14.9% gross from 15% to 15.5%, so that kind of implies that we have confidence in our price versus cost model, and we think we'll have that next year too.
David Raso: And I know you don't divulge truck margins by geography, but when you see what's in the book, you know what the new trucks are doing on your economics, when we think of any margin improvement next year, and at the moment you're not assuming radically different growth rates and even EU versus U.S., Canada. How should we think about the margin improvement geographically? I'm trying to get a sense a bit obviously just cyclically thinking about next year, but structurally, is there something about some geographies it might even be with another geographies just how to think about the margin improvement geographically knowing what the new trucks are doing?
Preston Feight: You know what I think is that the new trucks around the world for PACCAR are doing so well in terms of their operating cost performance to our customers. That is helpful to us in terms of margin. The percent of the product that we changed in Europe is a higher percent than we changed in North America. And so that's really helpful to us in Europe. And I think that our team in South America is doing a great job. In Australia, they're doing a great job and in Mexico they're doing a great job. So I kind of look at it and think that it's happening everywhere for us.
David Raso: Terrific. One last quick one if you don't mind. The used gain on sale, the used trucks in the FinCo, for the third quarter, I was curious, I mean obviously shipments have gotten a little better, but overall the unit delivery wasn't great and obviously we can kind of equate when you're selling more new, it creates more used opportunities regardless of the used truck price. Was the gain on sale in the third quarter similar to the first two quarters that roughly $35 million run rate?
Harrie Schippers: No, I would say it was more or less similar, Dave -- David.
David Raso: Helpful. I appreciate it. Thank you.
Preston Feight: Right. Good day.
Operator: Your next question comes from the line of John Joyner with BMO Capital Markets. Your line is now open.
John Joyner: Hey, good morning. I just had one question. So following up on Steve's and Raso's question, with regard to used prices and such I mean so I guess what happens on the other side of this when used prices do moderate to maybe a more normal level? I mean do you tend to put the trucks back through wholesale or I guess how are you thinking about that?
Preston Feight: Well, I think what we think is that if there is going to be a market that is constrained like it has been and truck ages up and freight volumes are up, then that could be some time before we experience that. We know the markets are cyclical. We have a great team in our financial services business. They do a really good job of adjusting to where the market is and maximizing the return on the DAF, Kenworth and Peterbilt products that really get a premium in the marketplace. So regardless of the part of the cycle we operate in, we tend to get that premium. We continue to expand our capability in that area. We've opened up a new used truck center in Madrid. We continue to take advantage of the opportunities of selling more retail and that's helped as a business in the long-term. Is there anything you'd add, Harrie?
Harrie Schippers: No, I think that summarizes it well.
Preston Feight: Okay.
Operator: Your next question comes from the line of Nicole DeBlase with Deutsche Bank. Your line is now open.
Nicole DeBlase: Yes thanks guys. Thanks for taking my questions.
Preston Feight: Sure.
Nicole DeBlase: So maybe just starting with a little bit more on supply chain. So totally understand that there's still a lot of constraints here, but have you guys observed any major signs of improvement? If we just think about like how supply chain is going relative to last quarter and where we were at this time last year?
Preston Feight: I think that compared to year-over-year, it's definitely better. I think that sequentially in the quarters we see different issues that are kind of adjusting. We have really good relationships with our suppliers and we continue to work with them to kind of solve out the issues. I'd say that it has shifted a little bit from being purely semiconductors to maybe being other labor kinds of issues and other material kinds of issues, but they're doing a really good job of helping us get the parts we need. Hence, we see that the production should grow in the fourth quarter.
Nicole DeBlase: Okay. That's really helpful. And you guys have increased your CapEx and R&D in 2023 relative to 2022 as per the new guidance today. I guess what are the big drivers there? I think R&D most people understand where the investment lies, but with respect to CapEx, what is causing that year-on-year step-up?
Preston Feight: Well, we have a lot of really neat projects that we're working on. We have some great clean diesel projects. We have some great zero emissions projects. We continue to make investments into our autonomous vehicle platform, our connected services platforms around the world, and enhancing our production capacity so we can build more trucks and engines and all of that is kind of what's driving those numbers. So it's fun to see those numbers moving just because they pretend a great future for us.
Operator: Your next question comes from the line of Rob Wertheimer with Melius Research. Your line is now open.
Rob Wertheimer: So I guess my first question or two, one is on Europe, and not so much on the demand side, but just on supply where, there's a lot of unease around energy and shortages and whether that will cause disruptions in the supply chain. And so I guess from your internal point of view, is that something you worry about? Do you see the next three months to six months of being risky? You don't know if a supplier's going to have an issue and shut down or is that something you see as more stable than perhaps I do?
Preston Feight: Well, I think that everybody can read the same headlines. But I would tell you that from inside of our business, we work really closely with our suppliers so that we can understand anything they're dealing with. And so far, it's been pretty good. We look into next year, and everybody is paying attention to it. We'll continue to work as partners to try to make sure we get the parts we need. I think we find ourselves in a pretty good position as we sit today.
Rob Wertheimer: Okay. Thank you. And the other one and I apologize if you answered this in reference to Steve. But when you look at your aftermarket margin, obviously, there's been a lot of effort over a lot of years, and revenues and margin are both increasing. At this point, are you seeing disproportional contribution from proprietary parts as you kind of get that mix-up? Or is there still runway across the aftermarket business on revenue and margin? Thank you. I'll stop there.
Preston Feight: Sure. I don't think it's disproportional. I think a lot of what's going on is the parts team and our dealers are doing a fantastic job of this business growth and creating recurring revenue by serving the customers well and by helping them become more efficient. And I think that's a lot of systems, a lot of e-commerce, a lot of relationship building, and I expect that will continue.
Operator: Your next question comes from the line of Jerry Revich with Goldman Sachs. Your line is now open.
Jerry Revich: Preston, wondering if you could talk about as you're having conversations with your customers that are interested in making longer-term plans for electrifying their fleets. How is their approach to procurement different at all in terms of the number of truck OEMs that are looking to use? Or any other differences in the process and the impact that you might have on your opportunity to get potentially better share in medium duty market in an EV environment versus diesel?
Preston Feight: Yes. I think that they use the same kind of analytics they do to make any kind of a buying decision as they're looking for an operating cost advantage, a total cost of ownership equation to work for them. It adds elements now with EVs because they think about charging and infrastructure and return and mileage and route and utilization. So we partner with them at Peterbilt, Kenworth, DAF and parts all partner with them to try to make sure they think about all the input costs that are going into it. And then as well, the incentives that are available to it and use all that together to come up with kind of like when is it time to start into the market, try five or 10 or 20. And then when is the time going to be to move even more quickly. And I think that that's kind of a very active dialogue that depends upon their used case.
Jerry Revich: Okay. And is that conversation any different in terms of number of participants versus diesel purchases? Or are they concentrating those conversations with fewer suppliers than they were in a diesel environment given the complexity?
Preston Feight: No, I think that they have a high trust in PACCAR and our high quality and excellent performance overall. We have that that is kind of the promise we make to them that we want to deliver on, and we'll do that through EVs as well. So I think that makes that we have a seat at the table to work with them and provide a successful solution for them.
Jerry Revich: Okay. Super. And just to shift gears. Harrie, I apologize if I missed this. You talk about in Europe the backlog coverage that you have, how far out the lead times track today. And can you talk about -- so we're in the mid-17s from a market share standpoint in Europe as regulations are implemented. Can you talk about the timeframe and opportunity for market share to continue to potentially move higher once the new regulations that you alluded to in the prepared remarks are implemented?
Harrie Schippers: Yes. The new mass and dimension regulations that we talked about allows for more aerodynamic and more fuel-efficient trucks to be designed if you meet certain criteria. DAF is taking full benefit of that new legislation. So as far as we can tell, DAF was the only truck manufacturer in Europe that has those trucks on the market today. That puts us in a really strong position to grow margins and market share. Like you said, 17.4% share year-to-date, that's a record for DAF. With the new trucks, yes, we're -- we're in an excellent position to grow that market share even further in the coming years.
Jerry Revich: And sorry, Harrie, the lead time part of that question, how far out are you taking orders in Europe?
Harrie Schippers: We -- the first quarter is more or less full today at the current capacity that suppliers are providing us, and then we're filling in the second quarter nicely at this moment in time. So that's a really good balance. It's a nice backlog for us as we enter 2023.
Operator: Your next question comes from the line of Michael Feniger with Bank of America. Your line is now open.
Michael Feniger: Hey, thanks for taking my questions. I know this got asked a little earlier. But just how should investors think about the gap you're seeing between spot freight rates and contract rates right now? How does that dynamic impact your customers' investing decisions going forward? Is that data point that spread you're seeing between the contract and spot rates, is that relevant in terms of how they think about their investment profile and purchasing decisions profile over the next few months?
Preston Feight: Well, I think that when you think the spot rates are a minority of the market, it's 15%, 20% portion of the market, when there's strong contract rates, which there are and when tonnage is at such high levels like it is, then I think there's still plenty of good business for them to have. And I think that they're still oversubscribed in terms of people wanting loads carried as a general statement, which is good for their businesses. And I would expect that that's -- they're being good for their business will be good for our business.
Michael Feniger: Makes sense. And if I look back like nine out of the last 12 years, your gross margins are up Q1 over Q4. So with the 15% to 15.5% guide in Q4, maybe help us understand why wouldn't gross margin increase from that level in the first quarter of next year. Anything we should think about there?
Preston Feight: I don't think we said that they shouldn't. I think we said that we had good gross margins this quarter. We expect them to be very good next quarter and fourth quarter, and that we think 2023 will be a really good year.
Michael Feniger: That's helpful. And just if I could squeeze one more in just on the R&D. I mean you're finishing this year, I think, on an annual basis, up 2% to 5%. Your truck sales are up nearly 30%. You guys did guide for next year. It seems like there's a little bit of a catch-up and R&D spending is going to be up double digits. But how should we think about like going forward into 2024? Is -- should we be looking at R&D as a percent of sales as a metric? Any way to kind of think about some of the investments that you guys are making and how to think about that over the next few years, given your backlog and how you guys are thinking about the truck cycle going forward?
Preston Feight: Sure. I can share with you how we think about it. We think of spending on R&D is that we have good projects that bring value to our customers. We're such a strong financially-positioned company that we spend the money we want to on the products that are going to bring value to our customers, and that's how we define our R&D spending.
Operator: Your next question comes from the line of Jeff Kauffman with Vertical Research Partners. Your line is now open.
Jeff Kauffman: Thank you very much. Well congratulations everybody.
Preston Feight: Thank you.
Jeff Kauffman: Hey, a lot of my questions have been answered, but I wanted to kind of follow-up. I mean things are changing globally, and currency has been one of those things that has changed pretty dramatically. You'd never know it looking at your results. And I was just kind of curious if you could talk a little bit about how currency is impacting, whether it's the revenues or the profits being reported back. And kind of give us an idea of what kind of impact to think about when we're talking about the truck business, whether we're talking about the Parts business, Financial Services business, as we think about moving toward 2023.
Michael Barkley: Jeff, this is Michael. Revenues for Q3 were reduced by $325 million due to currency effects, mostly the euro; some offset with the Brazilian real was stronger. And for the year, it was $740 million. So there's been that effect, and the impact on profit was about -- net profit was about $20 million for Q3 and $50 million for year-to-date.
Jeff Kauffman: Okay. And then just one follow-up. You talked about some of the new investment platforms. And I was just wondering because every time I see one of your trucks out there, there seems to be an Aurora system attached to it these days in terms of just showing what's on the horizon. Can you talk a little bit about your progress there? And you had discussed maybe building some platforms where PACCAR could be a beneficiary of some of the information and data flows on some of these new vehicles for customers that were looking to electrify or go autonomous in a couple of years. Just kind of an update on some of these new platforms.
Preston Feight: Sure. We're really pleased with the progress we're making with our partnerships with Aurora and others, and it's going really well. They're making excellent progress. Together, we are. We are developing as you mentioned, Jeff, we're making this autonomous vehicle platform, which creates a system of redundancy, which makes operating the vehicle feasible. It integrates it into the truck through software as well. And our expertise and their expertise combined is creating, I think, a really neat product for the future.
Operator: Your next question comes from the line of Matt Elkott with Cowen and Company. Your line is now open.
Matt Elkott: Thank you. Maybe I'll ask you guys on the cadence of new truck deliveries going forward, given how anomalous this environment has been and how it's pushed off the production cycle. As supply chain disruptions continue to ease and you're able to further optimize your manufacturing processes, could we see a more linear quarterly cadence than historically with deliveries or maybe even like steady, modest quarter-over-quarter increases in deliveries in the next few quarters?
Preston Feight: Well, I think that as the supply base improves, it does make it smoother, as you're right to say that. I think we got to see it get totally smooth before we can take full advantage of that. I think that prediction of when that will be; we don't know how to make that. We just keep building all the trucks we can. And I would expect that, as we said, we expect deliveries increasing in the fourth quarter. And beyond that, we'll watch how the opportunities are. As we think that the demand is strong, we do think that next year still feels like at least the beginning to be supply constrained.
Matt Elkott: Yes. Got it. And then just one last question. If you ask the off-highway equipment manufacturers they're expecting infrastructure-related projects to start hitting their backlog late this year, if we look back historically, can you -- is it easy for you guys to kind of trace some of your business to either residential or non-residential construction activity in the U.S.? Residential is obviously moderating, but there's an expectation that infrastructure projects will start coming in next year.
Preston Feight: And the U.S. markets, Kenworth and Peterbilt are the leaders in the vocational markets for trucks that support those kinds of projects and expect that will continue next year, and we do see strength in those markets. So we would expect that to be good news and a tailwind for 2023.
Operator: Your next question comes from the line of Scott Group with Wolfe Research. Your line is now open.
Scott Group: Hey thanks. We saw the really strong industry order numbers for September. Any color on October? Are you seeing anything directionally similar with September?
Preston Feight: Yes. We're seeing continued strengthening even so we're seeing that September was strong, and we see October being strong as well.
Scott Group: Okay. On the currency question that Jeff asked, is fourth quarter similar with Q3 in terms of that net $20 million headwind? Or could it be a lot bigger than that?
Preston Feight: Michael?
Michael Barkley: It will be similar to that. The euro had already started to drop last in the fourth quarter of last year so -- but I would expect it to be about a similar number.
Harrie Schippers: Of course, it depends on what the exchange rate are going to be --
Preston Feight: Sure.
Harrie Schippers: Two months still. Yes.
Scott Group: And then just last thing with Nikola acquiring Romeo, does that have any impact on battery suppliers for you? How do you think about that?
Preston Feight: Yes. We have a really good supply base structure with the battery producers in the world and have long-term contracts in place that give us adequate supply.
Scott Group: So Nikola as a competitor acquiring a supplier really doesn't change anything?
Preston Feight: No, impact at all. It's our ability to produce EV vehicles.
Operator: There are no other questions in the queue at this time. Are there any additional remarks from the company?
Ken Hastings: We'd like to thank everyone for joining the call. And thank you, operator.
Operator: Thank you. This concludes today's conference call. Thank you for attending. You may now disconnect.